Operator: Good evening, and thank you for standing by. Welcome to the Worldline Third Quarter 2024 Revenue Conference Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Marc-Henri Desportes, Worldline Group CEO. Please go ahead.
Marc-Henri Desportes: Ladies and gentlemen, good evening to all of you, and thank you for joining Worldline's Third Quarter 2024 Revenue Conference Call. I will start by going through the highlights of the quarter with the key business and commercial dynamics for each of our business units as well as some action points we are implementing to reaccelerate our growth. Gregory, our Group CFO, will then go through our third quarter revenue performance in greater detail before my conclusion and finally, the Q&A session. Before I start, let me give you some color regarding our ambition over the following months to rebound and refocus our business. Worldline experienced soft revenue over the last quarters, and we had our specific challenges in an overall less favorable market. As a management team, all our action and energy are mobilized to make this Q3 the end of the negative sequence and the point from which we will progressively rebound. And to rebound, we can rely on a solid base. On one hand, when the specific and often temporary challenges are isolated and dealt with, the business is growing, and we delivered a mid-single-digit growth on the core of our Merchant Services business. On the other hand, with Power24, we secure to have a rationalized cost base as we enter into 2025. I believe the growth of the group can and needs to be stronger, and it will come through the concentration of our investments in new distribution channels and high value-added products, which will enable us to fully leverage our solid fundamentals. I will come back on the associated rebound actions we have undertaken during the call. Concentrating also means refocusing through a portfolio pruning. After a decade where Worldline has actively consolidated the European payment landscape, there are some peripherical assets in our portfolio that do not enjoy many synergies with the group or our businesses and that we may look to divest. It's too early to talk about specific at this stage, but our goal is to operate a leaner and simpler business and accelerate the rebound of the group growth. Now moving on to our quarterly and year-to-date group revenue performance. We delivered a soft third quarter as anticipated with a slight 1.1% revenue decline in organic terms in Q3. On a September year-to-date basis, revenue amounted close to EUR 3.5 billion or plus 1% organic growth. As we had mentioned in September, this performance was impacted by specific challenges, particularly in Q3, and this is, therefore, reflected in our full year guidance. Addressing them with notable and right focus is the first and single step out of our current softness. I'll let Gregory give you the details in a moment, but at this stage, we fully confirm our full year guidance. Now Merchant Services. Merchant Services is in a transition year but maintains strong fundamentals, which are our scale, our reach, in particular in Europe and our product range. In this context, we are really happy to welcome Paul Marriott-Clarke, who joined a few weeks ago as our new Merchant Services leader. Paul has a strong knowledge of the payment market and particularly on the Online business coming from his PayPal experience. Merchant Services has been reorganized during the summer into a go-to-market approach for sales and customer services to increase our focus on client end-to-end needs. Talking about more detailed actions. We have already implemented measures to resolve the current specific challenges. In Australia, a new local management team is now in place and repricing action has been pushed through in active collaboration with our banking partner to factor in our cost increases. In the Online verticals, the name of the game is to ramp up faster the new customers to benefit from their increased volumes. The dynamic end of September of big customers like Google or Turkish Airlines give us comfort to be on the right path, and we will progressively benefit from the end of the impact of our merchant portfolio termination, which had started in Q3 2023. Besides, our payment orchestration product continued to deliver a solid double-digit growth and will be pushed further. As a result of our actions, both Australia and the Travel and Gaming Online verticals should return to growth already in Q4 2024. Meanwhile, I want to boost our midterm outlook with various initiatives. For example, we aim to expand our market reach through ISVs and for large enterprise for further product extension. We are also expanding our distribution channel with the coming soon of CAWL in France with Crédit Agricole, where our setup work is progressing in line with the plan, and we are experiencing the first wins enabled by this new cooperation. We are also fully on track with CCB in Italy to onboard 60,000 new merchants between the end of this year and early next year. Another major contributor to this acceleration is embedded payments. Our partner business is already growing double digit, but we are far from being able to address these key segments at full speed, which I'm going to explain in the next page. All of these initiatives underpin our ambition to progressively reaccelerate our Merchant Services towards the mid- to high single-digit growth in H2 2025. Embedded payments indeed is a real leap forward for Worldline, opening us the possibility to address together with our partner OPP, ISVs and marketplaces all across Europe. In the era of platformization and marketplaces, OPP has developed for the European market, including U.K. and Switzerland, a solution able to compliantly onboard massively new sellers, individuals or merchants. We have today a base of over 28 million onboarded sellers. OPP, coupled with Worldline's payment expertise will provide a new solution covering the full revenue ecosystem from global online acceptance to full acquiring capabilities. It's easy to use and integrate. It's flexible, it's fully compliant with the EU regulation, in particular, the GDPR and secure and highly flexible and scalable. Further developments over the next months roadmap include advancements such as tap on mobile and point-of-sale integration, and we will be the first one to offer such an integrated setup, particularly relevant for platforms, including home delivery services. As said previously, we already had hundreds of ISVs connected, but it was each time a small project. Now we have the solution with easy-to-connect APIs to move at a very different pace. So we are really excited regarding the potential of this technology, which demonstrates our know-how and that will contribute to our future successes. Looking to our other divisions. Financial Services was impacted by the one-off reinsourcing in the Payment Account segment. We are confident, however, that this division will be back to growth in the second half of 2025, driven by a very good commercial dynamic and a clear improvement in the conversion of the pipeline. Our strong position in issuing, which is now growing very well and the rollout of the cloud-based instant payment solution will also contribute to our dynamic going forward. Finally, in MeTS, our product-based organization and new management team since the end of 2022 have borne fruit, thanks to our innovation-led expansion. Supported by our know-how and expertise, we expect growth to continue over the coming years. For instance, by leveraging the power of AI in the customer care center with our new e-ticketing systems, which are only some examples of our innovation. I will now hand it over to Gregory, who will review the Q3 financial performance.
Gregory Lambertie: Thank you, Marc-Henri, and good evening, everyone. Let me first start with an overview of our Q3 revenue performance. Q3 revenue came in at about EUR 1.2 billion, down 1.1% organically. GBL by GBL performance is as follows: MS is broadly stable organically, or down 2.7% on an NNR basis, with the gap mainly due to more cross-border transactions in our very dynamic Southern European geographies as well as lower volumes on Online verticals that have more zero scheme payment fee methods. More domestic consumption at Christmas, we expect this gap to narrow significantly in Q4. Excluding specific issues, which I'll detail on the next slide, underlying growth in MS stood at circa 5% based on 3% MSV development as shown in the appendices. Financial Services was down 8.3%, impacted by the reinsourcing process in the Account Payment division. And finally, MeTS revenue was up circa 5%, mainly driven by increased activity in France. Year-to-date September, organic growth stands at 1% or broadly stable on an NNR basis, with MS up 2.2%, FS down 3.7% and MeTS up 2.2%. Looking at MS Q3 revenue in more detail, here are the main points to highlight. First, 3 specific challenges we faced in Q3, which cost us 4% in organic growth. Number one, merchant terminations are behind us since Q1, but still weighing on organic growth by approximately 2%. Then we have 2 topics costing 1% each in organic growth. First, in APAC, negative growth stemmed from a slower-than-expected migration that is being finalized as we speak and historical limitations on our ability to pass cost increases to large enterprise customers. The active repricing campaign engaged by a new local leadership and backed by a banking partner will allow us to be back to accretive MS underlying growth as soon as Q4. Second, the slowdown of our Online vertical is due to both a challenging macroeconomic environment impacting the Travel and Gaming segment as well as a slippage in the onboarding of certain customers. As mentioned by Marc-Henri, a specific action plan has been implemented to address this issue. And with the ramp-up of already onboarded merchants, we expect to be back to growth, excluding merchant terminations in Q4 in Online. As for underlying growth, it stands at 5% in the third quarter, primarily driven by a strong momentum in the Italian and Greek markets where we are growing in the 20% range and gaining market share. In Central Europe, we continue to record good commercial momentum, particularly in Germany, which is growing high single digit, excluding merchant terminations. In Northern Europe, business momentum started soft this year, but is improving, in particular in Scandinavia. And with new product release in Q4, we expect improvements in these geographies. Finally, regarding MS commercial activity, in the quarter, we signed good logos, in particular, Online, just to name a few, Appart'City, the leading apparthotel provider in France, selected our full-service offer encompassing acquiring, digital currency conversion, and a gateway integrated into their property management system. And in airlines, we recorded share of wallet gains with Emirates for digital wallet acceptance as well as with Air Transat. Moving on to FS. Revenues reached EUR 211 million, down 8.3%, largely due to the already mentioned M&A-driven reinsourcing process at one of our largest customers in May this year. This earlier-than-anticipated impact drove a one-off negative performance. Excluding this impact, FS grew, benefiting from increased volumes across all the countries and new projects in the issuing business as well as good wins in Instant Payment. On the commercial front, Worldline is registering a number of successes, 3 of which are on the slide, Bank of China, British Petroleum. Maybe one to call out. Anadolubank, which is on contract in a series of 5 this year on our cloud solution in Instant Payments for which we are seeing good momentum. Given the meaningful increase of the pipeline and the absence of major renegotiations ahead, the growth profile of the division would improve from Q2 2025 onwards. Now on MeTS. Revenues reached EUR 259 million year-to-date, accelerating throughout the year, mainly driven first by good volumes in Trusted Services, particularly in our e-education and e-health in France and Germany. And second, by strong growth in Omnichannel Interaction segment on the back of good volumes and good delivery of projects. In terms of business development, 2 large companies have extended their partnership with Worldline's Contact Solution, BNP Paribas Group and Diot-Siaci. So good commercial activity overall as well. Finally, a word on our cash focus as well as financial policy. During the quarter, we have maintained a strong attention on executing Power24 so as to optimize Worldline's operating model and rightsize our cost base. Implementation cash costs will remain unchanged at EUR 250 million, and we confirm the minimum EUR 220 million run rate of cash cost savings by 2025. In parallel, structural actions are being implemented to improve cash generation. We're committed to containing CapEx in the low EUR 300 million in 2024 and beyond. As planned in our guidance, working capital will be a EUR 50 million to EUR 60 million outflow in '24, trending towards 0 in the following years. And rationalization and integration costs will continue to decrease in '24 and beyond, trending towards 1% of revenues. Finally, we are committed to maintaining a solid financial structure with, a, strong liquidity; and b, targeted leverage under our new definition, which includes IFRS 16 of circa 1.5x adjusted EBITDA, which we expect to reach by end 2025 in a BAU mode. To conclude my presentation, we confirm our full year '24 guidance as follows: organic growth of circa 1%; adjusted EBITDA of circa EUR 1.1 billion and a free cash flow maintained at circa EUR 0.2 billion. Thank you very much for your attention. Now let me hand it over to Marc-Henri for his closing remarks.
Marc-Henri Desportes: Thank you, Gregory. In 2024, we delivered our new organization with some new talent at local and global level, and we adapted our cost base with accelerating -- while accelerating our new product launches. As Gregory showed you, we have a solid momentum on our core, and we want now to rebound on it and to refocus. We have the right management actions to address specific issues like Australia and Online, and we will leverage our growth accelerator, namely new distribution channels and new products. This growth accelerator will deliver the maximum impact at the core of our activities on which we want to focus. Hence, the portfolio pruning we talk about and on which we are actively working. Turning to page of Power24. Rebounding our top line and refocusing our efforts, we will come back progressively to a mid-single-digit growth and strong cash flow generation. Thank you very much for your attention. I'm now getting ready with Gregory to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Emmanuel Matot from ODDO BHF.
Emmanuel Matot: Emmanuel Matot from ODDO BHF. I would say I have 3 questions. First, in Merchant Services, excluding the specific challenges you have, are there any problems that will prevent the company from optimizing an improvement in the macroeconomic situation if it were to occur in the next few months? I'm thinking of technological issues, bad integration of acquisitions, increased competitive pressure, negative impact from restructuring. Second, in Financial Services, will we have to wait a year to see a return to sales growth in that division, given the impact of the reinternalization of a major contract? And third, do you know how long it will take for the Board of Directors to decide on the next CEO? Could the appointment not be announced before 2025?
Marc-Henri Desportes: Thank you, Emmanuel. I will take your first question, and Gregory will answer the second one. And I can immediately say on the third one, I'm not going to discuss the topics that belong to the Board. These question are for the Board of Directors. As for myself, it's very simple. I put all my energy, my patient and my knowledge of Worldline to keep it in motion, keep it in motion, not stay at all. We have no time to lose. The refocus and rebound is what we want to do. And this rebound is not going to wait. So we are in motion, and we are dedicated to make it happen with the team. To your question about Merchant Services, we are confident. The core is in the capacity to accelerate. So no, there are not specific topics that will prevent us from doing what we have to do. We work on a day-to-day basis to bring new products to the market, to improve the onboarding and to accelerate the onboarding of the customer. So all these elements are there. The market will be what it will be, but our ability to seize the opportunity and to accelerate the business that lies in our hand. We don't see showstoppers that will prevent us to deliver and to make it.
Gregory Lambertie: And on your second question around FS. FS, excluding this one-off impact of the reinternalization I just mentioned, is already growing. And in Q2 2025, in May ‘25 to be precise, this effect will be gone. So reported growth will start to improve in Q2 ‘25 and be positive from H2 ‘25 in FS.
Operator: Your next question comes from the line of Sven Merkt from Barclays.
Sven Merkt: Maybe first staying with Financial Services. Are there any major contract renewals coming up that could continue to put pressure on the business? And given that this segment has now been weak for some time, what gives you conviction that it's not in structural decline? And then secondly, it would be great if you could provide us a bit more clarity what exactly drove this 2.5 percentage point impact from specific challenges you're calling out in the release related to the APAC business and Online. What exactly happened? Have you lost market share? Are there any regulatory issues?
Gregory Lambertie: Okay. So on your first one on FS, there is no other identified reinsourcing processes identified as of now. There is no contract expiration in '25 and '26. And as mentioned, we expect to be back to growth in H2 '25. And what we are seeing is that already on Instant Payment, I mentioned that we've had a string of wins this year. But also on the Issuing business, things are well oriented. And we're seeing that a number of tailwind is in the market with instant payment implementation by year-end 2025, the launch of EPI under the brand Wero in participating countries and digital euro, where we are well positioned in the current tender process.
Marc-Henri Desportes: And coming to your point about explaining further in Australia, I think it's primarily an execution topic, executing on the ability to onboard the merchants to price them well, so that's why we changed the management team. We also had to find the right agreement with our banking partner to do the thing in a proper way and to price the business at the right level, factoring our cost situation, including the scheme fees evolution. So that's what we did. On Online, there was softness overall in the Travel and Gaming numbers. That's what we have seen. And probably the ability to onboard at the right speed, the merchants we have signed was not fully there. So we push on it. We reaccelerate the momentum with the team to recreate the proper dynamic and the attention on this business is there to turn it around. And I think from that point of view, we welcome also Paul joining the team and helping us to steer it.
Gregory Lambertie: And to be clear, actions have been taken since Q2, and we’re expecting together with the momentum of already onboarded merchants that both in Australia and in Online, the turnaround is effective and accelerating in Q4.
Operator: Your next question comes from the line of Fred Boulan from Bank of America Merrill Lynch.
Frederic Boulan: So first question around the trend in the MS business. So you quote MSV growth of 3% in the quarter, but we had obviously a very different result when it comes to reported growth, so APAC, Online. But can you talk a bit about the other moving parts, which is pricing and any specific development there you want to call out? Secondly, around headcount and restructuring, et cetera. So interesting comment around the cash costs will reach 1% of revenues in the coming years. So are we done in terms of adjusting the headcount? I mean you think the level you've reached is the right level in the long run? And can we expect cash cost to drop to 1% as early as next year? I mean it's a very large deceleration here. And then lastly, if you can give us a quick update on the JV with Crédit Agricole. I mean the kind of go-live, I think you mentioned is kind of already more or less ongoing. But if you can reconfirm the contribution you expect from the JV next year?
Marc-Henri Desportes: Frederic. I'll take your questions. Maybe Gregory will elaborate further on the restructuring cost outlook. On MSV, you're right, in the quarter, it's in the range of 3%. It's in the appendix of the presentation. So no big changes to what we explained before. The topics that really created a different situation is the one we highlighted is that you mentioned yourself, Online, Australia. We did not experience a change in the pricing momentum in Q3. So I'm not seeing something very different in this overall pricing topic. Coming to headcount, restructuring, clearly, Power24, as I said, is on track. we do this year what we expected to do, and we are not planning a need to relaunch a wave of further restructuring. We are in a business where there is anyway natural attrition, which gives us flexibility if we have to adapt to a smaller extent, the cost base here and there. So we don't have a view of having to continue on restructuring. Power24 is really a page return, it was a very important moment of transformation. It's not something that we see continuing into the coming years in further waves. I don't know, Gregory, if you want to add a word on restructuring outlook.
Gregory Lambertie: Yes, for sure. I think what we -- what Marc-Henri said was very clear, no need for exceptional restructuring. What we said is that we would drive towards this 1% of rationalization integration cost. in the medium term. We're at 4.2% last year, going down significantly this year and the trajectory is to be at 1% in the next couple of years.
Marc-Henri Desportes: Okay. And on the Crédit Agricole joint venture, as we had shared during the summer, we are on the path of having the next step, the operational phase live during the course of H1 next year. So this is ongoing as we speak. I think it’s not the right moment to share numbers about the impact during 2025. We’ll come back on that. But the good thing is one I mentioned before, even in this phase where it’s still the presetup team, which is preparing this next step and starting to add go-to-market, we see the combination attracts attention, and we see that we start to win some businesses. I think it’s a good sign that the momentum will be the one we expected. And I remind you that in the long term, the overall idea is to get an additional 1% of growth for – at the full Worldline level expected from this new joint venture.
Operator: Your next question comes from the line of Hannes Leitner from Jefferies.
Hannes Leitner: I have a couple of questions. You mentioned that it's time for some pruning of business activities with less synergies. Maybe you can talk about the businesses in general and then the identified scope in revenues and EBITDA and the associated people involved and what do you expect to maybe capitalize there? Then maybe you can a little bit talk about your guidance. You talked always about circa. Is that probably a range when you say about 1% organic growth, it could be plus 0.7% or plus 1.3%. Maybe you can talk there about the deviation given Q4, we are basically closing the first month for free and then we have the Christmas season. And it seems like you have to grow Q4 a little bit above seasonal. And then the last question is just around the net debt position. We appreciate your disclosure here. Maybe you can talk about the refinancing activities for next year. You mentioned that you have above EUR 1 billion cash position. But how do you plan to refinance the outstanding debt due in 2025 and 2026?
Marc-Henri Desportes: Thank you, Hannes. I will take your first 2 questions, and Gregory will cover the third one. On the pruning, as I say, I'm not in a position right now to name the assets. We are working on it. It is based on business criteria, where do we have the highest level of synergies, where the investment we are doing on distribution channels, on products are accelerating our business. Here, that's what we want to keep at the core. The rest can be considered. The word pruning means we are not talking about something massive. So you ask for numbers. I mean I can give you an order of magnitude, an order of magnitude of circa 10% of revenue, if you want to have a view of what it could mean in terms of size and dimension. It's too early to be more specific, to be more detailed. But bear in mind, it's really business-driven concentrating the energy, the efforts where it provides the highest level of benefit. And okay, look at after all these years of consolidation, it's sound and it's the right moment to do this exercise. On the guidance, you spotted an element which is very clear, is to be there. It means we accelerate from Q3 to Q4. That's what we plan. That's what we are -- we have, thanks to actions on which we put our energy. We mentioned a couple of topics that are taking place as we speak. And it's not betting on specific macro environment changes of different seasonal impact. It is what we are seeing with the current situation we have.
Gregory Lambertie: And what – I mean, what we’re seeing here is an acceleration in MS, first, because we have a better comparison effect versus 2023. Second, because we started sorting out the specific APAC and Online challenges, which will be back to growth in Q4. And third, because of the ramp-up of already onboarded merchants. Now of course, there’s already the Christmas season, but with these 3 elements, we are confident for Q4. Now on your last point regarding refinancing, as mentioned, we are committed to investment grade. We have put out a leverage target of 1.5x under the new definition, which is a commitment – stronger commitment to that investment-grade rating. Liquidity is very important to us. And we intend to refinance the upcoming bond maturities through existing cash and possible access to market when right market windows open.
Operator: Your next question comes from the line of Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla: Two from me. Number one, on the Merchant Service business, can you remind us in terms of the portfolio of the number of platforms or products you have and how we should think about some of this kind of optimization exercise, perhaps how much kind of overlap you have identified and how you kind of look to simplify it and how quickly these actions can start to kind of play out? And then secondly, on the Financial Service business, I know, Gregory, you mentioned that you expect to be back to growth in the second half next year. What is the sort of ballpark kind of volume versus kind of price -- ongoing price erosion on a more normalized basis that we should think about as you bridge this business towards this kind of -- I think your target has been low to mid-single-digit growth?
Marc-Henri Desportes: Thank you, Mo. On your first question, I think the most important is that the core of our target platform is now very much dominant in our acquiring business. We have over 1 million merchants that are on the core target acquiring platform. And so we are more of a topic now of side platforms which remains a cost optimization potential positive, but it's less of a topic for growth or development of our activity. So -- and it's not the topic of the portfolio pruning that is driving us. Portfolio pruning is really where the synergies are limited in our business. So it's not -- and it was a question we had before. We don't see a showstopper in the situation of platforms for our growth as we speak. Maybe Financial Services, you want to come back on it, Gregory?
Gregory Lambertie: Yes, sure. So first, what I said is that we'd be back to reported growth, but what we're seeing is that excluding this internalization that happened this year, the rest is already growing. Then looking at volume versus price erosion, we see that price erosion is more than offset by volume growth. But the reality is that the actual growth for the business, the biggest contributor is on new business.
Marc-Henri Desportes: And the Issuing business is really growing well now.
Gregory Lambertie: High single digit.
Marc-Henri Desportes: High single digit. And that’s where the competition is the highest. That’s where the market has the most dynamic. And I think it shows that the work that was done on the product and on the sales rejuvenation of its Financial Service team is bearing its fruit. So we’ll have to turn the page of this big in-sourcing, but the underlying dynamic, especially in the Issuing part is really, really much better now.
Operator: Your next question comes from the line of Alexandre Faure from BNP Paribas.
Alexandre Faure: I had about three questions, if I may. First one is maybe more of a clarification. Did you say that you expect Travel and Gaming in e-com to return to growth in Q4? And should I understand that those 2 verticals have been declining in the third quarter? I mean I understand that these industries might not be booming, but declining seems harsh. So have you seen wallet share losses? Or did you have particularly tough comps in Q3? My second point is going back to the divestment discussion. I think Marc-Henri, a few times when you discussed it earlier on today, you framed that in the context of a lot of M&A over the last decade. Does it mean that in your eyes, Worldline as it IPO-ed 10 years ago is kind of core activities, the scope it had in 2014? And lastly, Marc-Henri, still, you explained earlier that all your energy now is going into keeping Worldline in motion. But if you were confirmed as a permanent CEO, I mean, what would you like Worldline to look like in, say, 2, 3 years' time?
Marc-Henri Desportes: Okay. Thanks, Alexan, for your questions. On the first one, yes, Travel and Gaming, we were declining in Q3. We saw that overall, the gaming industry issued less activities on the previous year. We were not in market share gain in this domain. So the good thing is we had signed business that we can now ramp up and that we are seeing to be back to growth in Q4. But yes, we were not in growth in Q3. So we face it like it is. On your second question on the divestment, I guess, no, the goal is not to come back to what was Worldline 10 years ago. The goal is I mentioned an order of magnitude, as you can hear.
Alexandre Faure: No, I think sorry if that was confusing. What I was saying is that you always related that commentary to M&A that you did. So do you mean that what you want to prune is the asset -- some of the assets that you bought or you could be pruning also the historical scope of Worldline as it came, as it IPO-ed 10 years ago?
Marc-Henri Desportes: Okay. I get it. The criteria will be synergies, impact of our investment and of our core investments. So it will not be based on was it the result of our M&A, yes or no, recent or not. It will be really business-driven, value creation driven and nothing else. So I think it’s with this criteria. And keeping Worldline in motion, where do I want to go? It starts by being back in the leadership position we can achieve, being winning market share over our competitors in a decisive way, not only on the standard SMB business in Europe, but also on the big enterprise vertical, in particular, in the omnichannel dimension where we have this in-store strength combined with this online strength. That’s what we want to achieve and get in motion. And once this very core leadership is reestablished, go back to the global consolidation race, but that will be at the next step. So we want to go step by step, first step refocus on rebound, reestablish the momentum that we think we can establish based on the strength we’ve built, show the gains and the development with more products, more distribution layers, be the partner of choice for the payments in Europe, in particular, and on this basis, grow again.
Operator: We will take our next question, and the question comes from the line of Josh Levin from Autonomous Research.
Josh Levin: Just two questions. One, again, on the pruning, when you talk about non-synergistic assets, is non-synergy refer to product or by geography? And then second, companies like Adyen and Stripe, they're just partnering more and more with ISVs to go after the SME segment in Europe. To what extent do you see this as a threat to Worldline?
Marc-Henri Desportes: Thank you. Product and geographies are 2 criteria that we will consider. The fact is, is it a geography where we can use the same products, the same platform, the same solution to get the full impact, the full benefit of our investment of our synergies. That's where geographies can come into the play. So both dimensions will be looked at, and it will be based on impact of synergies, impact of our investment to reaccelerate the growth. That remains the guideline. And your second question was...
Gregory Lambertie: Around partnering with ISVs.
Marc-Henri Desportes: Partnering with ISVs. So as I said with the embedded payments, we were doing ISV partnering. And by the way, growing well above double digit in this domain. So it's also a successful area.
Gregory Lambertie: Absolutely. In fact, it's been a 20% plus growth in '23. And year-to-date, looking at this channel of tech-enabled partner, it's north of 20% as well.
Marc-Henri Desportes: But we were not getting the full speed because we were doing it more country by country or opportunity by opportunity and not having the simple API that, for example, some competitor may have. That’s why we did this work with embedded payment with OPP. OPP has been acquired into this, but we decided to accelerate the work since Q2 to get ready and to be able to do this announcement. We did this announcement in the month of October. And now we have a much simpler set of API so that for an ISV to connect our solution, it’s extremely simple. In a simple case, it’s less than 6 days of work. We have cases in less than 6 days. And then you have the scalability of this platform and the scalability is really impressive. I mentioned that we have onboarded – we are onboarding circa 1 million new sellers per month. So you have a lot of consumers, but also small merchants. And it is designed to be ultra automatized. And you have to be very, very optimal in this kind of business to handle the onboarding, but also to handle all the following elements like claims, chargebacks or whatever so that for the merchant, for the platform is super simple. And that is really the difference we are going to make. And I think that’s something we were not fully benefiting from in the past. And there is a good, good potential to accelerate with that. And the good thing being in Europe, it’s not exactly like the American market. You have this ISV momentum, but the market being more fragmented with different geographic languages, you have much more smaller ISVs. You have a much bigger long tail of ISVs of small marketplaces to sign. And to be able to catch it, you need to have a very, very efficient and simple to connect to platforms. That’s what we are launching now. So that’s why I feel a bit excited about the potential of this.
Operator: We will take our final question, and your question comes from the line of Derric Marcon from Bernstein.
Derric Marcon: It's a very simple question, maybe stupid, but I try to understand or reconcile the fact that your underlying growth is 5% for Merchant Services in Q3, so slightly below what we saw in Q1 and Q2. It seems that you are pretty happy with what happened in Q3, except in Australia and Travel and Gaming -- Online Travel and Gaming. But if I strip out these two headwinds, specific headwinds, let's say that the 5% underlying growth benefiting from the scheme effect seems, let's say, a marked slowdown compared to Q1 and Q2. So I was just wondering what -- where the headwinds besides the 2 that you are mentioning? Is it Belgium, Switzerland? So you mentioned country where things were going in the right direction, but maybe some countries are not going in the right direction, at least compared to H1.
Marc-Henri Desportes: Thank you, Derric. Are we saying that we are super happy with the 5%? That's not what we said. We said that's something solid on which we can rebound, and we want to rebound. So I will not say I'm satisfied being at this level. I want we do better than that. And doing better than that means pushing further on distribution channel, on products, on solutions. which we put a full energy on. Overall, we have what it takes to get there. We will -- we are mobilized with the team. We will push a lot, a lot, a lot for these results. This rebound is at rich. That's my conviction, my engagement, my energy. And don't quote me like I'm satisfied with this 5%.
Derric Marcon: No, Marc-Henri, my point was just to try to reconcile or find the moving part because here, you've got 5% inflated by the scheme fee impact, where while your MSV is growing at the same pace than Q2 and you are -- so it's -- let's say, the slowdown seems important in Q3 compared to Q2, while you don't see that in the, let's say, visible numbers that you gave.
Marc-Henri Desportes: No, it's not an important slowdown. I think Gregory shared a bit the momentum by geographic areas. We have a situation where in this moment in Europe, the North is slower than the South. And given our geographic distribution, it's -- it was not the best for us. That being said, the South momentum is strong. Germany, again, Gregory mentioned it after the merchant portfolio termination that is now fully behind us, even on a comparison basis when we talk about Q4, it's strong. And on the Nordics, it was less strong, the Northern Europe part. And here, one of the key elements is that we are bringing new products. We launched all the Android range in Scandinavia in September. We are bringing it also on some other geographies, which give us a lever to accelerate and to bounce back. But it was a bit softer, let's face it.
Gregory Lambertie: So indeed, Derric, just to put numbers here, underlying Q2, 6%. We're talking 5% in Q3. Indeed, some slowdown due to the weighing Marc-Henri just alluded to our geographies expected improvement in Q4.
Derric Marcon: But Gregory, in this 5% for Q3 that you quote, you have the scheme impact, which is much bigger than Q2. So that's -- I was comparing Q3 2024 and Q2 2024 underlying growth. Even removing the headwind, it seems that the underlying growth in Q3 is lower than Q2 despite easy comps.
Gregory Lambertie: Yes, indeed, the impact of the seasonal effect on card mix in those fast-growing geographies is what I alluded to in touristic destinations in Southern Europe with high utilization of international scheme versus local scheme, which we already observed last year, by the way. And as mentioned in the voice over earlier, the weakness of the cross-border online activity partly related to lower volumes where we have a model in which we have much less scheme fee. It's alternative payment methods, which sometimes have 0 scheme fee. So there is this impact in Q3, which we expect to narrow in Q4 as domestic consumption is much higher during the festive season as we experience every year.
Marc-Henri Desportes: Yes. So we have good visibility on that.
Marc-Henri Desportes: Thank you. Thanks for being with us on this call. Thanks for your attention, your questions. As you could hear, the full team is mobilized on working on this rebound and this refocusing of Worldline. And that's the continuation of this journey on which we are engaged, and we'll be glad to come back to with you over the next calls, months and weeks.
Gregory Lambertie: Thank you.
End of Q&A:
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.